Operator: Good morning. Thank you for attending today's Frontier Communications First Quarter 2024 Earnings Call. My name is Cole, and I'll be the moderator for today's call. 
 [Operator Instructions] I'd now like to turn the conference over to our host, Spencer Kurn. Please go ahead. 
Spencer Kurn: Good morning, and welcome to Frontier Communications' first quarter 2024 earnings call. This is Spencer Kurn, Frontier's Head of Investor Relations, and I'm joined on the call today by Nick Jeffery, our President and CEO; and Scott Beasley, our CFO. Today's presentation can be followed within the webcast available on the Events & Presentations section of our Investor Relations website.
 Before we start, please see our safe harbor disclaimer on Slide 2. This is a reminder that this conference call may include forward-looking statements that involve risks and uncertainties that may cause actual results to differ materially from those expressed today.
 During the call, we may also refer to certain non-GAAP financial measures, which are defined and reconciled in our earnings materials.
 With that, I'll turn the call over to Nick. 
Nicholas Jeffery: Thanks, Spencer. Good morning, everybody. I'm here today with Scott, and we're excited to share our Q1 results with you. Let's start with the headline of the quarter. We had a strong start for the year and delivered positive revenue growth for the first time since 2015. This is a major inflection point for our company, and it's a fast follow for us having achieved EBITDA growth last year for the first time in more than a decade. 
 Until now, Frontier has been a story about reinvention. Today, while our reinvention accelerates, our story turns to one of growth. Through consistent execution over the last 3 years, we've delivered an operational turnaround and emerged as a leader in the fiber industry. Let's talk about how we've achieved this.
 It all starts with our clear strategy to build fiber, sell fiber, improve service for all our customers and increase operational efficiency. And at the center of our strategy sits our ambitious purpose, to build the digital infrastructure this country needs to thrive now and into the next century. This is the why behind the work that we do, and we call it building Gigabit America.
 Over the last few years, we've advanced our purpose and shown rigor and discipline in executing our strategy. Firstly, we've developed the capability to quickly and efficiently build fiber at scale. We've more than doubled our fiber footprint in just a few short years. Secondly, we've grown our fiber broadband customer base by nearly 60% since 2020. And today, we have a record 2.1 million customers connected to our blazing fast fiber Internet.
 Thirdly, we've improved our customer service. 75% of our customer interactions are now digital, driving greater customer satisfaction as reflected in our industry-leading NPS scores. And lastly, we can move faster and with greater efficiency because we've created a simpler and more digital organization, 3 years of relentless execution has brought us to where we are today, the largest pure-play fiber Internet company in America.
 On the next slide, you can see that fiber now represents the majority of our business, with 6.8 million fiber passings. Simple math puts us at 68% of the way towards our initial goal of building to at least 10 million fiber passings. Our fiber broadband customers now represent 70% of our total broadband customer base, and fiber now accounts for more than 50% of our revenue and 60% of our adjusted EBITDA. We've said as fiber becomes a greater share of our business, we become an even stronger company. And Q1 is the perfect illustration of this dynamic.
 Let's turn to Slide 6 to review the details. I shared at the top of the call that we achieved a positive inflection point in revenue growth this quarter. This is a result of our fast-growing fiber business continuing to accelerate. We grew fiber broadband customers by 18% and ARPU by 6% this quarter. Combined, these 2 metrics helped us deliver total fiber revenue growth of 10%. As data consumption continues to rise, customers are increasingly turning to the best broadband product in the market, fiber.
 We're also seeing this need for speed translating into higher adoption of symmetrical gigabit-plus speeds. And our customers are increasingly purchasing value-added service add-ons such as whole-home Wi-Fi and premium tech support.
 The numbers clearly show how our fiber business is lifting our overall revenue, and it's lifting our EBITDA too. We delivered 5.4% EBITDA growth this quarter as our revenue growth was supported by our continued focus on cost efficiencies. This is, in fact, the third quarter in a row of accelerated EBITDA growth and our fastest quarter of EBITDA growth since 2016.
 Before I turn it over to Scott, let's recap our 2024 priorities on Slide 7. This year, we're focused on driving 3 simple outcomes: Maintaining strong operational momentum, delivering revenue growth and accelerating our EBITDA growth. As our first quarter results show, we're off to a fast start, which puts us in a strong position to deliver accelerated growth for the full year.
 I'm excited to provide more detail on our longer-term financial goals and a path for driving increased shareholder value at our forthcoming investor update. The exact timing of which will depend on the strategic review process, which we announced on a previous earnings call. We're looking forward to this event, and I'll keep everybody posted on timing.
 I'll wrap up by saying a huge thank you to our customers, employees, partners and everyone who plays a role in building Gigabit America. And I want to say a special thanks to our IT team. A few weeks ago, we disclosed that we had a cyber instance that impacted some of our IT systems. Our IT team was quickly able to contain the incident and worked tirelessly to get us back up and running. And I'm extremely grateful for all their hard work and dedication and I'm proud of our whole team for rallying together to continue to serve our customers. So thank you all.
 Scott, over to you. 
Scott Beasley: Thank you, Nick, and good morning, everyone. We started the year with a strong quarter of operational and financial results. We added 322,000 fiber passings in Q1, which puts us on track to achieve our goal of 1.3 million passings this year. We also added 88,000 fiber broadband customers in the quarter, resulting in customer growth of 18% year-over-year, while growing ARPU at the same time.
 Consumer fiber broadband churn was also solid in the quarter, remaining low at 1.2%. Finally, we continue to execute on our cost savings initiatives, and we have reached a cumulative $536 million of savings since we started the program in 2021. These strong operational results continue to drive our financial performance. Our financial highlights are on Slide 10. Let's start with revenue.
 Our first quarter revenue was $1.46 billion, up 2% versus Q1 of last year, and we earned $1 million of net income. As Nick highlighted at the beginning of the call, growing revenue year-over-year was a major inflection point for us. Our $547 million of adjusted EBITDA represents our third consecutive quarter of adjusted EBITDA growth and our fastest pace of growth since 2016. We also generated $335 million of net cash from operations, bringing this total to $1.3 billion over the trailing 12 months.
 Slide 11 shows continued progress that we are making in growing our fiber customer base. We grew our total fiber broadband customers by 18% versus last year. This number is up nearly 60% since the end of 2020. We have driven this customer growth while also accelerating ARPU growth, which, as Nick mentioned, grew by 6% year-over-year.
 Our ARPU growth was a result of 3 drivers: Introducing faster speed tiers, price adjustments and expanding our sales of value-added services. In Q1, over 60% of our new customers took speeds of 1 gig or faster and nearly 50% of customers purchased at least 1 value-added service. We are now seeing strong execution translate into revenue growth.
 Our customer and ARPU growth drove a 24% increase in fiber broadband revenue this quarter, which more than offset legacy product declines. Total revenue growth for consumer accelerated for the third quarter in a row to 3%. Business and wholesale was roughly flat, leading to overall revenue growth of 2%. We expect the trends of accelerating consumer revenue growth and roughly stable business and wholesale revenue to continue for the rest of the year.
 Moving to Slide 13. We achieved 5% adjusted EBITDA growth this quarter, driven by 12% growth from fiber products. We are also managing the decline of adjusted EBITDA from copper products which declined 2% year-over-year.
 Let's turn next to Slide 14. We had cash capital investment of $1.0 billion in the first quarter of 2024, down $125 million versus Q1 of last year. Cash capital investment was front-end loaded this year as expected, largely due to the timing of working capital related to the build. We expect to see capital investment decline for the remaining 3 quarters of the year, and we remain on track for our 2024 capital investment to be lower than 2023.
 As we noted on our last call, we expect to spend less capital on the same number of passings as we consume prework in inventory that we built up in 2022 and 2023. Our capital investment mix is also shifting with lower build spend but higher success-based customer acquisition spend as we increase gross adds. We continue to have high confidence that our fiber build will deliver IRRs in the mid to high teens, well above our cost of capital. And that once we are through the investment phase, our business should generate significant growing free cash flow.
 Touching briefly on Slide 15. At the end of the first quarter, we had $2.6 billion of liquidity. Our balance sheet remains healthy with approximately 87% of our debt at fixed rates. We do not have any significant maturities until 2027. 
 Finally, you can see on Slide 16 that we are reiterating our 2024 guidance. Our adjusted EBITDA growth in Q1 gives us increased confidence that we can grow adjusted EBITDA in the mid-single-digit range for the year, which would be a significant milestone in our turnaround.
 Before we open it up for questions, I want to say thank you to our Frontier team for delivering another great quarter and a strong start to the year.
 Operator, we'll now open the line for questions. 
Operator: [Operator Instructions] Our first question is from Michael Rollins with Citi. 
Michael Rollins: I'm curious if you could talk a little bit more about just maybe where you are with the strategic review? And does the current considerations infer that the analyst meeting could push beyond end of Q2 and possibly be 3Q in timing? 
Nicholas Jeffery: Michael, it's Nick here. I mean, as we said before, the Board and executive team are always looking for ways to create additional shareholder value. And we're continuing to do just that. And the timing of the review is important because with our initial goal of building to at least 10 million fiber passings now firmly in sight, we believe it's a natural time in our evolution to look at the next phase of our growth.
 So we continue to look at a number of options, including, as we said, continued optimization of our operations and financing strategy, strategic partnerships, joint ventures, divestitures, mergers and other business combinations. And that work is going on right now very, very intensively. So the review is ongoing. And of course, we'll come back and share more news with you as soon as we can.
 And whilst we did initially expect to host our investor update in Q2, we decided to wait, just in case we can get more insight from the strategic review, which would be appropriate to share at that Investor Day. So we're really looking forward to the event. It's being planned actively right now, and we'll share more detail on our longer-term goals and plans when we get to that event. But we haven't got a date yet, but of course, we'll keep you posted when we do. 
Michael Rollins: And just one on the business. Base fiber penetration, if I read it correctly, I think that's 44.9%. Can you talk about what you're seeing in the competitive landscape? And does the progress in the base fiber market lead you to conclude that there might even be more penetration than 45% over time in your markets? 
Nicholas Jeffery: Yes. Nick here again. Well, we've always said at least 45%, and you're right to point out that in our base markets, which are our most mature fiber markets, where we have full competition and, of course, full FWA overlay in many, many cases, a really good test case for what we think is possible. And in those base markets, we've grown penetration from about 40% just over 3 years ago, up to now a milestone of 45% in our mature markets.
 And I think that really underscores the superior nature of our product, good execution and the pricing strategy we have of having really the best product there will ever be in this market at a very competitive and attractive price coupled with value creation mechanisms to drive up ARPU as you see in our results.
 Now of course, broadband remains a competitive market. We fight hard every single day. But I think what we're seeing in those markets is great evidence of what will be possible across our whole footprint as we continue to build out. 
Operator: Our next question is from Shipra Pandey with Bank of America. 
Shipra Pandey: Great. I have more of a big picture question. Having recently launched coverage of Frontier, one of the main talking points in my discussion so far is the debate of where the industry is headed towards in the future and what the industry structure may look like. There are 2 developments sort of happening within broadband. We're seeing sort of a convergence dynamic with wireless and cable players. And so there's debate of whether convergence is a necessity to defend the business and retain market share? And then also the development of third-party fiber overbuilders and their long-term game plan in the industry. I would just love to hear your views on the topic, what the long-term structure might look like and why, and where Frontier fits into that picture? 
Nicholas Jeffery: Yes. Thank you. Of course, no one has a crystal ball on this. So I can't give you a precise answer and no one knows what's really going to happen. But if we just break your question down into its component parts, I mean, firstly, convergence. The industry data very clearly shows that the U.S. is a converging market, driven mainly by the cable operators, but nonetheless, really converging at scale.
 Also, just in my work experience and the analysis we've done here at Frontier, we can't find a country anywhere in the world where once convergence starts, it either slows down or reverses. So I think it's safe to say the U.S. is a convergent market and that will continue to accelerate.
 However, when I look at the implications for us, as I've said on several previous calls, the need for us to have a mobile bundle coupled with fiber will really be dictated by the data that we see. And there would be 2 data points we'd be looking at. First of all, does our rate of customer acquisition for fiber products slowdown. Secondly, does our churn go up. And as can see evidenced in our really strong Q1 results today, neither of those 2 things is true. And that's perhaps because convergence is a great strategy perhaps for legacy operators who are defending positions, but we're an attacker in the market, and our goal is to grow.
 So at the moment, we don't see the need to add a mobile bundle to our fiber offer. The returns on capital from investing in fiber are amazing and that's a really good use of our capital. But we'll watch the data very, very closely. And if we see customer behavior change, then we are prepared, should we need it, to work on introducing a mobile bundle. We have a lot of operational experience in our team in the cellular industry, so we really know how to do it. We've kind of laid the groundwork, but we don't really see it as something we need to do right now.
 I think on wider industry structures, things like open access networks and overbuilders. On overbuilders, we see remarkably little activity actually, and I think that's a reflection of the colossal white space that still exists in the U.S. market to go build fiber. So if you have capital and an intention to build fiber, you should really go to somewhere where there isn't a great deal of competition. And that's a very big available space for those operators. And that's perhaps a little bit why we don't see a huge amount of -- matter of fact, very little over builder activity in our market. And it could be a reflection of the structure of the market and the fact that capital can be deployed effectively in areas where there's perhaps less competition. And why would you come and compete with Frontier if you didn't have to.
 The third point of your question, I think, was on open access networks. And it's true there are some open access networks being built, and there's a discussion around CapEx-light models and so on. I would just say building fiber always requires capital. So the question is really, who's capital is it and what return can you get from it? And so if there are open access networks being built that we might be able to access that are adjacent to our existing footprints, where we can get great marketing efficiency and drive the kind of commercial and operational performance we want, we might consider looking at those always driven by the numbers and the returns we could get. It's not likely that we will open our own networks to open access because we don't need to. We're growing healthily, we're growing ARPU, our brand is resonating, we have a great proposition, and we don't need to add anyone else on our networks. 
Operator: Our next question is from Sebastiano Petti with JPMorgan. 
Sebastiano Petti: I just wanted to circle back on just the revenue. I think you saw the growth there within the consolidated revenue. Is there any reason to think that, that does not continue on a go-forward basis. Should we continue to see the aggregate business grow from here in subsequent quarters. Just wanted to make sure I understand the slide there in your prepared remarks, Nick.
 And then overall, just going back to the broadband ecosystem. Obviously, Frontier continues to grow. It's aided by the accelerating fiber deployment. But you're seeing just a slowdown perhaps broadly across the ecosystem, Nick, given your experience in other industries, other markets rather, in broadband. Anything you see that's kind of going on under the hood obviously, Frontier positioned well to continue to kind of take gross add share. But are you seeing mobile substitution or any of that kind of occurring within your base?
 And then lastly, any color you could perhaps provide us on the cyber incident? Perhaps trying to weight how much you were out of the market and what that could mean to gross additions within the quarter? 
Scott Beasley: Sure. Sebastiano, let's parse that in 3, and I'll take the first one and then hand to Nick on the -- on your questions around broadband. So on revenue, we feel good about the start to the year. We've said Q2, we expect to be up year-over-year. We expect it to be up sequentially, and the same trend should continue with consumer having strong acceleration and business and wholesale, roughly flat. And then we have said for the full year, we expect to grow revenue, and that would be the major inflection point for full year revenue growth in 2024 versus 2023.
 Let me take the final part of your question on Q2 net adds. So we've said we expect Q2 net adds to be up significantly year-over-year. There are some tailwinds, some headwinds. I'll give you some color there. On the tailwind side, our sales channels are performing well. Our offers resonating with customers, and we have the opportunity for some pent-up demand from segments with longer sales cycles like MDU.
 Now on the headwind side, Q2 is typically the seasonally slowest quarter. ACP has an unknown impact, although we do have solid offers in place. And then finally, we did have our systems issue in mid-April that you mentioned. Underlying demand is still very healthy, but there might be some of those orders that get pushed into late Q2 or in the future quarters, that -- we're going to do everything we can to drive net adds higher and get those orders installed but some of them could push into future quarters. So overall, we feel good about our net add momentum. We expect a strong quarter in Q2, followed by a strong second half of the year. 
Nicholas Jeffery: Scott, thanks. On the second part of your question, kind of structural slowdown you're seeing in some parts of the industry. Yes, look, I think the point to raise there is that what we do is really a scale game. And we are the largest pure-play fiber provider in the U.S. We kind of got out of the stove early. We were fast on this. And we have certain structural advantages relative to our competition. For instance, our ability to overlash existing overhead cables with fiber or to use existing duct to pull fiber through that others simply don't have.
 So we've got a cost and scale advantage. And that's really underpinned our ability to accelerate our delivery, and we're delivering about 3,500 fiber passings a day and converting those very predictably now into new customers, and that flows through into, of course, revenue and EBITDA growth. And those customers give us an opportunity to upsell both speed and new services. And as you heard in the prepared comments, we're now having 60% of our intake customers buying 1 gig and above speeds, and more than 50% of our customers taking 1 value-added service or more. So we've kind of got scale, momentum and depth in the industry.
 Now if you don't have those things, I think fiber is a very, very difficult market to get into. If you're subscale, if you're capital constrained, if your costs are structurally higher than scale operators, I think this is a difficult game to be in. And perhaps we're seeing some operators, some smaller ones in the market beginning to feel that a little bit more and asking themselves, how do they reach scale. That's a question for them, of course, rather than for us.
 But I think that's what's going on. We see, from our perspective, a very healthy dynamic and one that continues to accelerate this flywheel effect we've talked about before as we build fiber, convert it to customers, upsell and cross-sell, improve customer care, get great NPS numbers that then flows through into our ability to build more, get more customers, sell them more stuff. So that flywheel is working very well for us. Perhaps if you haven't got scale, it's less easy to get that going and perhaps you'd struggle slightly more.
 Just to touch briefly on your question on cyber. As I shared at the top of the call, we did have a cyber instance in mid-April that impacted some of our IT systems, and I am hugely grateful to our amazing IT team who worked absolutely tirelessly, and our core IT systems are now back up and running. And perhaps most importantly, financially, we don't expect any material impact from this. So thank you for your question. 
Operator: Our next question is from Jonathan Chaplin with New Street. 
Jonathan Chaplin: A couple, probably to Scott. On ARPU, it looks like if we back out gift card impact that it grew -- fiber broadband ARPU grew about 3.5%, which is sort of right in the middle of your range. Is that a good steady state to sort of think about going forward? Or can you accelerate given the -- sort of the few drivers you spoke about, [ spot ] towards the top end of the range?
 And then you laid out a very clear picture for accelerating revenue growth with consumer accelerating, business flat. Does that drive steadily accelerating EBITDA growth as we progress through the year as well? And I'm wondering if you can, in the context of that, just give us a little bit more color on SAC and how you think that evolves in the fiber business guidance? 
Scott Beasley: Great. Let me take those one by one. On ARPU, you're right, the headline number was 6%. That's very healthy. We have reduced our reliance on gift cards. If you normalize for gift cards and take those out, it was about 3.5% year-over-year, and that's right in the middle of that 3% to 4% a year range that we've talked about. So we're working hard on each of those 3 levers that Nick described with excellent progress there, could move towards the top end of the range, 4%, but we feel good about where we are now in the ARPU trajectory.
 Accelerating revenue growth. You talked about how is that going to flow through into EBITDA growth. I'd say we're really pleased with our EBITDA performance this quarter, a 5% adjusted EBITDA growth was our fastest pace since 2016. Q1's growth rate in absolute number give us increased confidence in our full year guidance, but it's still early in the year. So we've got another 3 quarters, and we'll work to keep the momentum going, but we feel good about the strong start to the year.
 And then I think your final question was on subscriber acquisition costs. They -- we're finding subscriber acquisition costs vary by geography and vary by unit type in that every geography we go into has a different ideal sales channel mix. Some of the geographies are -- rely much more heavily on door-to-door, some of them more digitally inclined, some of them we've had a lot of success selling with partners and cross-sell and big-box stores. And so the mix is going to be a big determinant of our subscriber acquisition cost.
 Now as Nick mentioned, we are at scale, and we're continuing to improve our negotiations with partners. We're continuing to improve our own processes to drive down costs. So while maybe that's not a near-term thing during this hyper growth phase, we are working to tighten down subscriber acquisition costs in the medium term. 
Operator: Our next question is from Greg Williams with TD Cowen. 
Anton Rinnert: This is Anton on for Greg. A good part of the CapEx, capital investment was under financing payments. I just wanted to kind of see what the cadence looks like from here on CapEx and the vendor financing payments, you still intend to exit the year with a lower balance on the vendor financing payables than in 2023? 
Scott Beasley: Sure, Anton. This is Scott. A few points on cash capital investment. So we had roughly $1 billion in Q1. That was part of our overall $3.0 billion to $3.2 billion guidance that we gave last quarter, and it was roughly $100 million lower than Q1 of last year. So good year-over-year progress. We expect a material step down from Q1 into Q2. And then smaller declines in Q3 and Q4. So we're highly confident in the range that we gave, and we're right on track to deliver that.
 In terms of the vendor financing, you'll see that we did reduce our balance on payables and vendor financing by about $350 million. We expect that -- and we only have about $50 million remaining on the vendor financing. So we expect that to kind of be in that range for the rest of the year. That would imply a large reduction as we exit 2024 versus where we exited '23. So we feel good about that as part of our capital investment. 
Operator: Our next question is from Sam McHugh with BNP Paribas. 
Samuel McHugh: A couple of questions. On the '23 expansion market, we can see the penetration rates look a bit more like the '21 build versus the '22 build. So just any color you can give on how we should think about the progression of those builds and the similarities or differences to the previous builds.
 And the second question was on pension contributions. So you reiterated the guide of the $125 million for the year. But just in Q1, we saw $146 million change in the cash flow on the pension and post-retirement liabilities. I wonder if you could just help us square the circle on those 2 numbers. 
Scott Beasley: Sure. So on -- I'll take the cohorts and then talk about the pension contribution. I mean I think the -- we're very much in line with where we've expected to be in expansion, penetration. We've hit the target range for all of the different cohorts. But we said every cohort is going to be slightly different. They're going to have different geographic mixes, they're going to have different build type mixes, different mix of single-family multi-dwelling, SMB. 
 And so I wouldn't draw too many conclusions from a single quarterly cohort. You really got to look at a full year or even multiple years. And when you do that, you'll see our customer growth is very healthy and our penetration rates are right on target with where we expected them to be. And that's with the accomplishment of 6% ARPU growth. So we feel good about overall expansion growth and where that's headed.
 On the pension contribution, we -- there were a few moving parts and we contributed $52 million of cash in Q1 and then there was also, given the change in discount rates and a retirement package that a number of employees took, there was a pension revaluation. We'll have more details on that in the Q that will be published later today. 
Operator: Our next question is from Peter Supino with Wolfe Research. 
Peter Supino: I wanted to follow up on Mike's question earlier in the Q&A about base penetration, like -- or rather maybe Scott or Nick, could you discuss the composition of your gross adds in your mature 45% penetrated markets, we're curious about their ARPU and their origin. For example, are they mostly movers? Or is this same location switching from cable as you experienced in the younger vintages?
 And then in the same market, how does ARPU compare to your base? Does it skew towards premium? Or are these new gross adds more price-conscious customers like the ones targeted by your value segment promo in the first quarter? 
Nicholas Jeffery: Yes. Peter, Nick here. I would -- just to remind everybody what we've said on multiple earnings calls before, the vast majority of our new customers come from cable. That's where we're winning. And in fact, we have taken market share from every competitor in every geography we operate in now for a number of quarters.
 But Scott, do you want to pick up the specific question on kind of ARPU and... 
Scott Beasley: Sure. So we don't differentiate externally between base ARPU and expansion ARPU. I'd say our intake ARPU is still very healthy. We have had a promotional offer in certain parts of our geography largely to kind of smooth out the transition from ACP. That offer is resonating with customers. But we have a large portion of our customers taking our premium plans. So we talked about roughly 60% of our new customers are taking 1 gig or higher. We've actually had increasing success with 2 gig and 5 gig, which has been great.
 And then we have a healthy portion of our customers taking value-added services at the point of sale because they realize that they want whole-home Wi-Fi or YouTube TV or other different value-added services that we offer. So we're encouraged by our intake offer by our base ARPU as well as our expansion ARPU. 
Peter Supino: One more question, if I could, on competition in your copper footprint. Is there an argument for going faster in your fiber expansion within your ILEC footprint? And could it even make sense under some circumstances to use a financial partner in order to go faster, given the interest of multi-tenant models in building out their footprints? 
Nicholas Jeffery: Yes. It's Nick. I'll take that. Yes, look, we're building as fast as we can. And as fast as the company as a whole can sensibly manage. And by sensibly, I mean making all parts of the company work to produce the kind of really strong results you see in the first quarter.
 Now why are we doing that? Of course, in part to make sure that we preserve the very active market structure that we operate in, where across our footprint, in 86% of our footprint, we have one or fewer gigabit-capable competitors. And the market structure is one of the most attractive things about the fiber market in the U.S. and relatively unique in my experience relative to other markets around the world. It's really a beautiful thing. And one of the main reasons I wanted to come to Frontier and see if we can make this the company that I think it can be. And this quarter is great evidence that we're doing that.
 So perhaps Scott, any comments you want to make on this? 
Scott Beasley: No. I think we have a lot of different opportunities to fund the build. We've talked about we'll -- we are exploring different financing options, different joint ventures, different strategic partnerships. So if the opportunity comes to build even faster. That's part of the strategic review, and we're looking at that right now. 
Operator: Our next question is from Nick Del Deo with MoffettNathanson. 
Nicholas Del Deo: So you emphasize that over 60% of new customers are taking speeds of at least a gig. It looks like in the recent months, you introduced a 200-meg plan. I assume that was primarily to help with ACP customers because I think historically, the lowest you've offered is 500 megs. I guess was ACP kind of the sole goal where you're marketing that more broadly? Are you planning to keep it longer term?
 And then second, on the BEAD front, can you update us on any work you're doing outside of a potential JV or other capital source to prepare for that, like getting the data models together, conducting outreach with the PUCs and so on? 
Nicholas Jeffery: Yes. Thanks, Nick. I'll start perhaps and then Scott, you pick up the second half of the question. Yes. Look, we're really, really pleased with the rate at which new customers are trading up our speed ladder and buying more value-added services. If we track back to the beginning of this story 3 years ago or 3.5 years ago, when we set out our pricing strategy, it was an abstract concept then, but we've really brought it to life. And pretty much every quarter, we're seeing the percent of customers taking gig-plus service increase. And that just speaks to the fundamental demand that's out there in the market for the best, the newest, the fastest and that's what we provide.
 So really, really strong traction right across the customer cohorts, trading up from 0.5 gig to 1 gig, 1 gig to 2 gig, 2 gig to 5 gig, and I'll remind everybody that our network is already 10 gig symmetrical capable end to end, and would be upgradable beyond that for a very, very limited capital because the fiber system is already in the ground, and we would only need to change in electronics, which is a very simple thing to do to go way, way, way beyond that. So we have a very, very extendable speed-price ladder.
 And then, of course, we lay our value-added services on top of that. And we're finding customers really, really want to buy those sorts of things. So we're going to keep extending that portfolio as well. So that bit of the machine works really, really well.
 But part of our role is also to make sure we have all quadrants of the market covered, not just the very high end, but also the on-ramp to that ladder, of the lower end. Hence, the 200 meg plan that you're seeing, that's, I think, best viewed as an experiment, as a pilot, a prototype, but we do that all the time in different geographies, in different ways, trying to figure out how we create real value for our customers and unlock new value [ services for ] ourselves.
 Now it is true that in part we were experimenting with ways to capture some of the ACP market. And I'll remind everybody that we actually have a relatively low exposure to the ACP market, about 4% of our customers. But there are other ACP customers out there that may find Frontier an attractive opportunity. And so we were kind of prototyping what might work for those customers. And we pulse both pilots in and out of geographic markets all the time. So you've picked up on one, but you'll see many others if you look closely around the country. We pulse them in, we learn, we pulse out, we review, we regroup, and we go again. And we keep doing that cycle right across our speed ladder to find out what the optimal mix is.
 And at the end of the day, that results in the kind of things you've seen with 18% growth in our consumer fiber broadband, 6% ARPU growth and 24% combined growth. So that's the sort of broader picture on what you're seeing with the 200-meg offer.
 Scott, do you want to just pick up the second point? 
Scott Beasley: Sure. Let me answer your BEAD question, Nick. You're right. We are deeply involved in scaling up a team to go after BEAD in a disciplined but strong way. So we've built out our grants team. We have an excellent team. We've done a lot of data modeling and actually included BEAD-eligible locations and adjacent areas into our integrated build models. We have an understanding of how they would fit with what we're already planning to build. We've begun outreach to states. And then we've even begun the prequalification process with a handful of states.
 So in terms of timing, anybody's guess as to when that starts flowing in greater numbers. But we're ready for BEAD. We think it's an important program. We'll be disciplined on it, but we think -- an exciting way to expand our total addressable market. 
Operator: Our next question is from Simon Flannery with Morgan Stanley. 
Simon Flannery: Just coming back to the outage quickly. Are you -- or have you granted any credits to customers? Is there anything we should be thinking on that front?
 And then on -- you talked about the strong growth in your fiber revenue, business and wholesale was particularly strong. I think it was up about 8% sequentially. I know you talked about some of the drivers like pricing actions and value-added services. But any more color you could talk about, is this a good run rate going forward? 
Scott Beasley: Sure, Simon. Let me take the first one. We'll stick to what we've said in the 8-K where we don't expect it to have a material financial impact. But beyond that, aren't talking about any specifics around customers or systems.
 On business and wholesale, we've said that is a lumpy business where you get some orders, some big installations that may hit 1 quarter, not another quarter. We're really encouraged by the underlying strength of business in wholesale, the fiber portion of that grew healthily, that's going to be the driver there, and then the offset is going to be managing the legacy product churn. And we did a really good job of that. In Q1, we're staying focused on that. So again, business and wholesale, we expect to be roughly stable throughout the year, that's plus or minus 2%, and this was a good start to the year. 
Operator: Our next question is from Frank Louthan with Raymond James. 
Robert Palmisano: This is Rob on for Frank. So you mentioned earlier on the call that ACP is an unknown impact to you guys. Can you quantify your ACP exposure in terms of number of subs? Also, what are you currently seeing in the way of fixed wireless access competition in the marketplace? 
 And then lastly, have you seen any recent changes to the construction outlook? Or is everything mostly running on schedule? 
Scott Beasley: Sure. Rob, good to hear from you. I'll take 1 and 3. So ACP and then the construction outlook and then pass to Nick for fixed wireless. On ACP, just a few data points, all of which we've shared before. So our exposure is relatively low, as Nick said, roughly 4% of our customer base. We do have an offer in the market to continue to serve that quadrant of the market. It's resonating well, and we don't expect there to be material impact. We may even be able to win some new customers that roll off of competitor ACP plans, but again, we'll wait and see there. And then three, the timing is a bit unknown. We may see some impact from ACP roll-offs in late Q2, but more likely the impact will be in Q3 and Q4. So that's ACP.
 On your third question around construction outlook, we see it relatively stable. We have partnerships with great kind of national players. We have smaller regional partnerships. In large part, they've been able to scale up to meet the demands of the industry. We've seen a number of other builders scale back their plans, and that has relieved some pressure on labor costs. So we feel confident in the year and are thankful for our partners for continuing to deliver on our capital budget and on time.
 And I'll pass to Nick on fixed wireless. 
Nicholas Jeffery: Yes. On fixed wireless, I mean, it's a subject we've talked about a number of times previously, but we haven't really seen an impact of FWA in our fiber footprint. And that's probably because FWA and full symmetrical high-speed fiber really do serve very different market segments. FWA is great for kind of mobile construction sites, early-career apartment dwellers and so on, whereas full fiber is a fantastic service for homes with multiple mobile devices, Playstations, 4K TVs, all of that stuff and, of course, for businesses.
 And actually, if we step back, in fact, our fiber broadband has gained share against every competitor in every geography. And on our base fiber footprint, which as I said earlier, is our most mature, where we have full competition of all sorts, we actually do have a significant overlap with FWA, yet our penetration has still systematically marched up over the last 3 and a bit years, now reaching our goal of at least 45%, and it's continuing to grow.
 Now of course, we do see FWA nibble a little bit at our copper base although not as much perhaps as you might expect, and that may be because a lot of our copper base is very, very rural. But if we step back, we've consistently said that FWA is going to use a huge amount of network capacity from the FWA providers for a relatively insignificant amount of revenue. And you can all do the simple math on how that flows through.
 And talking to someone who used to run a big cellular network, I would be asking very serious questions about the sustainability of the business case for FWA. When you look at the kind of cost per gig, capacity limitations, and the continuous of -- exponential rise in data consumption as users hang more and more devices off individual connection. What -- at what point do the economics of FWA break down, prices have to go up and geographic restrictions put in. And I think we're beginning to see some of those moves now appear in the market. And that is just physics and economics playing through.
 So we don't think FWA networks were really engineered to serve the same market segment that Frontier is moving into. And with our typical usage of 1 terabyte and above, and of course, at a top quartile, much higher than that, really full symmetrical fiber is really the best solution for connecting homes and businesses and one that really will never be surpassed from a sort of physics and technology point of view. And that's one reason why we're very, very confident that our fiber strategy is resonating in the market and will continue to do over the long term.
 So perhaps Spencer back to you to close the call. 
Spencer Kurn: Absolutely. Thanks, Rob, for your question, and thank you all for joining us. We'll conclude our first quarter 2024 earnings call there, and we'll talk to you in 90 days. Thanks. 
Operator: Thank you all for your participation. You may now disconnect your line.